Operator: Good day and thank you for standing by. Welcome to the Q3 2023 Cardlytics, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator instructions] Please be advised that today’s conference is being recorded. I would now like to hand the call over to your speaker for today, Nick Lynton, Chief, Legal and Privacy Officer. Nick, please go ahead.
Nick Lynton: Good evening, and welcome to the Cardlytics Third Quarter 2023 Financial Results Call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including expectations about our future financial performance and results including for the fourth quarter and full year 2023, adding new partners to the network, our partners transition to the new ad server and user experience, the growth of Rippl, improvements to our operations, our platform and our U.K. business, international expansion, the Bridg earn-out payments and our liquidity. For a discussion of the specific risk factors that could cause our actual results to differ materially from today's discussion, please refer to the Risk Factors section of the company's 10-Q for the quarter ended September 30, 2023, which has been filed with the SEC. Also during this call, we will discuss non-GAAP measures of our performance. GAAP financial reconciliations and supplemental financial information are provided in the press release issued today and the 8-K that has been filed with the SEC. Today's call is available via webcast, and a replay will be available for one week. You can find the information I have just described in the Investor Relations section of the Cardlytics website. Please note that a supplemental presentation to our third quarter results has also been posted on our Investor Relations website. Joining us on the call today is our CEO, Karim Temsamani; and our CFO, Alexis DeSieno. Following their prepared remarks, we'll open the call to your questions. With that said, let me turn the call over to Karim.
Karim Temsamani: Good evening, and thank you for joining our Q3 2023 earnings call. To start the call, I'd like to provide some context to this quarter, now that I've spent a year in the business. When I arrived last year, our finances needed to improve. Before I started, our Q2 2022 adjusted EBITDA annual run rate was worse than negative $55 million and adding to the difficulty our teams were facing. My immediate priority was to rightsize our cost structure and reinvest in building the foundations of our business, starting with our financial institution relationships. While we have much left to accomplish, I am proud of the work our teams have done so far. The financial foundations of our business is stronger and our banking relationships are in a much better place. We can now think longer term about our growth prospects. Our results this quarter match this sentiment. We were in line with guidance on our top line metrics and better than expected on our profitability metrics. Of note, adjusted contribution grew 22% year-over-year and our adjusted EBITDA was positive for the first time in 2023 at $3.9 million. We also had positive operating cash flow for the since straight quarter. Alexis will provide more details later on our full financial results. Our solid financial performance this quarter points back to our underlying value proposition. For example, gas, grocery and convenience grew more than 65% this quarter year-over-year. We saw success because we help brands target shoppers who buy competing brands. We deliver strong ROI for them, which helps us succeed in this category. Another that saw success was travel and entertainment, which grew more than 20% in the quarter year-over-year. While consumer spend in travel and entertainment has softened in the back half of the year, our clients are still leaning into budgets. Our platform helps them reward loyalty and acquire new customers, particularly in environments where spending is volatile. These positive results were balanced by subpar performance in restaurants and retail. We believe these verticals can and should be significant contributors to our business and we are aiming to drive high growth moving forward by reinvesting in our teams in these categories. As we saw with our vertical performance in the quarter, underlying fundamentals were mixed, unique consumers activating offers decreased 7% year-over-year in Q3, driven by the loss of the previously mentioned large restaurant clients. That said, unique customers with a redemption or spend per serve in the quarter saw a 13% increase, which indicates we are serving relevant and engaging offers to consumers. Where there will be quarter-to-quarter variation in activations, we expect unique customers activating to increase over time as we continue to evolve our platform. As we mentioned last quarter, our expectation was to sign one new bank partner by the end of 2023. We are excited to announce that our U.K. team signed Monzo, one of the fastest-growing banks in the U.K. We can't wait to launch in 2024 to help their customers save money on the brands that they love. And the teams aren't stopping there. Our partner pipeline remains strong, and we believe we will set at least one more major bank partner in the U.S. over the next few months. Let's move to our strategic initiatives. In the quarter, we spent a considerable amount of time on strategic planning. What I expect an Investor Day at a later date, I do want to provide initial color on how I see our strategy evolving over the next four years. Our vision for the future of Cardlytics is aligned around 4 strategic pillars, One, strengthening our core product by driving user engagement and building out demand, supply and marketplace liquidity while simultaneously expanding the core business globally outside of the U.K.; two, scaling Bridg and Rippl and connecting it with the core Casodex to unlock a unique data and measurement ecosystem; three, broadening our reach to non-FIs to diversify supply and access the broader merchant ecosystem. This is a large growth vector for our business but will require further exploration in the New Year. And last, but also most importantly, embedding insights into everything we do, internally and externally, to become the trusted commerce partner. As a data company, this builds the credibility to reinforce our core and tap into new revenue streams. I'm excited about the future and potential of Cardlytics, and can't wait to discuss the detailed initiatives behind our strategy with all of you. And while I could spend most of the call discussing our strategic plan, I do want to move to our near-term initiatives that are critical to realizing many elements of this vision. So first, let's discuss the key initiatives for our bank partners and advertisers. On the bank front, like last quarter, all our major U.S. banks have data in AWS, and most have systems in AWS. In the quarter, a large U.K. bank completed the migration, moving us closer to 100% completion. We still expect nearly all our major banks to migrate to AWS, and the new user experience by the middle of 2024. We continue to have constructive conversations with our partners, and we want to drive to full adoption as soon as possible. One bank focused area that saw significant progress was adoption of our ad decisioning engine or ADE. If you recall, ADE drives higher monetization and offer relevancy for the business through improved targeting. This quarter, two of our largest banks fully adopted ADE. We're excited about the increases in overall engagement we see with ADE and can't wait for all of our banks to adopt these new We continue to scale our advertising product to provide our partners and advertisers new ways to drive engagement and return on ad spend. Multi-tier offers which provide variable incentives based on objectives are seeing rapid adoption and have shown 2 times better performance than our baseline offering in some campaigns. For example, a customer came to us with an ask to increase premium membership purchases. Historically, this customer saw a split of 50% premium membership to 50% basic memberships. Our multi-tier offers were able to drive consumers to an 80% premium membership split, providing additional value for its advertisers and its consumers. We're also continuing to make improvements to our operations. Several key items were completed in the quarter that we expect to significantly improve action, including transitioning legacy processors to our data lake and facilitating new interfaces for on boarding new publishers such as Monzo. We are also continuing to make improvements to our operations. Several key items were completed in the quarter that we expect to significantly improve our execution, including transitioning legacy processes to our data lake, in facilitating new interfaces for on boarding new publishers such as Monzo. We've also made process improvements that have significantly reduced the time to onboard a merchant from 2 weeks to just 2 days. Moving to Bridg and Rippl. For our customer data platform or CDP product, we resigned a national retailer to a large long-term contract. This is a great win for us and evidence that the CDP product can deliver the data enrichment that larger retailers need. Earlier this quarter, we launched Rippl, our retail media network. To remind you, we believe Rippl will provide Citi brand flexibility in building sophisticated audiences, seamless access to a national footprint and user-friendly tools that empower them to gain valuable insights, drive substantial incremental sales and accurately measure the impact of their campaigns. While the lumpiness we expected in growth for the platform is materializing, we have solid progress in transforming the business. We have 33 million profiles live on Rippl and the initial feedback is strong. We also recently hired a Chief Revenue officer for the business to help increase our growth. We expect to announce some big wins in the coming quarters, and we see strong potential for Rippl to scale in 2024 and beyond. Let's move to the global business. While Monzo is the big news, I do have another important update. Please join me in welcoming Ian Harrington, who will serve in a newly created General Manager of International role. Ian have built several billion-dollar global businesses from scratch at Google and has over 25 years of experience in global markets. At Cardlytics, he will be charged with leading a global expansion and strategic business development. We're extremely excited to have attracted him to Cardlytics and I look forward to providing more updates around our global business plans in the near future. Moving to our outlook. On the surface, consumer spend looked solid this quarter with a 5.6% increase year-over-year, largely driven by gas prices. But despite this persistent spending, inflation is still higher than normal and some of our final institutions partners highlighted elevated interest rates, lower deposits and higher credit card charge-offs as negative indicators. In our conversations with advertisers, we are seeing elevated cushions around commitments and the size of advertising budgets given trends that they are seeing in Q4. It appears that some of the optimize in Q2 has cited ground to renewed recessionary concerns. Economic volatility will impact our Q4 billings and revenue, but our adjusted EBITDA should still be positive in Q4. We can also reach positive adjusted EBITDA for the full year if we execute on our plan. We remain highly focused on our cash flow and profitability as we navigate this choppy environment. The trajectory of our adjusted EBITDA and operating cash flow since Q1 of 2022 is reflective of the incredible effort and dedication from our team to rightsize our business and I think a great predictor of our future success. And like we've discussed, there are many exciting developments coming over the next few quarters that will drive growth for us in the coming years. By the end of 2024, we expect our platform to look completely different with new large bank partners a broader and deeper data set, more sophisticated audience targeting, better analytics and reporting and a variety of ad formats that will drive increased engagement. We are confident in our strategy for the next four years, and our belief in our long-term growth prospect has never been stronger. Now I will turn it over to Alexis to discuss our financial results.
Alexis DeSieno: Thank you, Karim. I'm thrilled to be addressing all of you today on my first earnings call. I spent my first 80 days as CFO meeting the teams, evaluating next steps for our capital structure and beginning to optimize our finance processes and systems. I also helped lead the 4-year strategic planning process that Karim mentioned. There is room to expand our addressable market and diversify our revenue streams while maintaining a focus on profitability and cash flow to strengthen our balance sheet. I'm excited to be joining at this time in our trajectory. We are positioned to be the leader in providing trusted and intelligent business insights, and there are a few other platforms that have the level of data and reach that we do. This gives us the right to compete with any platform in our space. And in the post-cookie landscape, the trends align with our strengths. In the near term, I have three major priorities; First, driving incremental revenue through pricing improvements and monetization of our assets, which will ultimately allow us to deliver more insights to our partners. Second, continuing to embrace automation and data analytics across the organization to allow us to make more informed decisions more quickly and more newly. Third and most importantly, being hyper focused on profitability, and improving our balance sheet and capital structure. This will allow us to deliver our goals and our promise to investors. Now let's move to our results and guidance. As Karim mentioned, we delivered solid third quarter results with billings, revenue and adjusted contribution consistent with our Q3 guidance and adjusted EBITDA exceeding our Q3 guidance. We had our second consecutive quarter of positive operating cash flow at $1.2 million and our first quarter in 2023 of positive adjusted EBITDA of $3.9 million. We are showing sequential improvements and momentum on profitability. My comments will be year-over-year comparisons for the third quarter, unless I state otherwise. Billings increased 5% to $116.4 million, primarily due to sales to new advertisers. Revenue increased 9% to $79 million, primarily due to a decrease in consumer incentives as a result of changes in our mix of financial institutions and pricing. Our top five customers accounted for 22% of revenue this quarter compared to 19% last year. Adjusted contribution increased 22% to $42.9 million. Geographically, U.S. revenue increased 10%. For our top advertisers across both years, revenue increased 30%. These increases were driven by higher brand spend and pricing improvements. U.K. revenue decreased 12% due mainly to the loss of a major partner last year. For the U.K., this is a sequential improvement over Q2, which we expect to continue in the next several quarters due to the additional supply from signing Monzo and from auto enrollment launching with another large bank partner set to begin in the next several months. For Bridg, revenue increased 10%, driven by contract extension of existing clients. As Karim said, we launched Rippl in August and have added 33 million profiles to our database with the line of sight through adding additional profiles in the near term, which enables us to scale and drive network effects. Adjusted contribution grew 22% with the margin calculated off of revenue of 54% compared to 48% one year ago. We are seeing the benefits of our partner share renegotiation with JPMorgan Chase as well as product improvements. Adjusted EBITDA exceeded the high end of guidance and was positive for the first time in 2023 at $3.9 million, which is $16.7 million better than Q3 of 2022. The Bridg was profitable for the second quarter in a row. Operating cash flow was $1.2 million and positive for the second consecutive quarter. While operating expenses, excluding stock-based compensation, came in lower than expected at $38.9 million, we still expect the run rate to be in the low $40 million range per quarter. Our focus is on improving our profitability and cash flow and the expectation moving forward is to be operating cash flow positive and adjusted EBITDA positive on an annual basis in 2024. On the contingent consideration for the second anniversary earn-out payment related to our acquisition of Bridg, we continue to believe the payment amount [indiscernible] However, SRS, the group representing the former Bridg shareholders submitted a notice in Q3 objecting to our calculations. We continue to believe our calculations are correct and are fully prepared to defend our position of $0. On the balance sheet, we ended Q3 with $90.1 million in cash and cash equivalents, and we had $4 million of unused available borrowings under our line of credit. We still believe that our available liquidity is sufficient to support our long-term However, capital structure is top of mind for me, and we plan to address our upcoming debt maturities on an appropriate time line. Before I turn to guidance, I want to note that we changed the definition on how we report our MAUs to reflect unique users within each bank regardless of the number of cards or accounts that they have at that bank. We believe this change is a more accurate view of our region monetization ability. Under the new definition, MAUs were $162.5 million, an increase of 4%. Also based on this new definition, ARPU during Q3 was $0.49 compared to $0.47 last year. Now turning to Q4 guidance. For most of the year, we have discussed the macro trends and dynamics that are causing uncertainty and mixed results in the advertising market. Our advertisers have shown renewed caution around budgets. However, we expect a strong adjusted EBITDA result given the work we've done on our cost structure. With that in mind, for Q4, we expect Billings is between $122 million and $133 million, revenue of between $82 million and $90 million, adjusted contribution of between $44 million and $50 million and adjusted EBITDA between positive $4 million and positive $8 million. Billings are primarily driven by growth in travel and continued success in our everyday spend categories. This growth is partially offset by weakness in restaurant and retail. Despite the mix trends, we are seeing our largest clients spend more with us. Advertisers spending more than $1 million per year are up 15%. For example, we closed a deal in October with one of the largest retailers in the United States that should push them to over 8 figures in Billings in 2023 and around 20 times their spend from 2022. This is a solid demonstration of how we can grow budgets with our existing clients as they get comfortable with the value proposition of our platform, particularly around our ability to drive incremental loyalty spend. And in most years prior to 2022, we saw unplanned holiday budgets materialize in the fourth quarter. We have not assumed these budgets in our forecast, so they could provide additional upside given the large number of days between Thanksgiving and Christmas this year. While Q4 and full year Billings growth is mixed, we are on track for a second consecutive quarter of positive adjusted EBITDA. The midpoint of our Q4 adjusted EBITDA guidance implies we will be close to breakeven for the full year 2023. Our annual adjusted EBITDA could be over $40 million better than 2022. These are incredible achievements by the teams. Like Karim said, we are bullish on the long term. We've added more supply in the U.K. We expect to sign another bank partner in our core business and nearly all of our banks should be on our new systems by the middle of 2024. We are adding profiles to the Bridg Retail Media network and revenue should follow as we continue to scale the business. We have identified our strategic costs and our teams are hard at work on turning these initiatives into real growth. While we expect some bumpiness given the seasonality of our business, we are on a path to sustain positive operating cash flow and positive adjusted EBITDA on an annual basis. And with that, I will turn it back over to Karim.
Karim Temsamani: As you know, I am extremely happy with the progress we've made on our financial structure. The trajectory of our profitability has dramatically improved of our run rate in Q2 of 2022. We are gathering speed in each passing quarter. Our platform is starting to look different and the collective improvements we are making to our products and operations are far exceeding our pace from prior years. And can back this up, with recent feedback from our banks who have told us we are moving at a much better pace than in prior years. Our dedication to product leadership, financial health and strategic growth is setting us on a promising course and I'm looking forward to the future.
Operator: [Operator Instructions] Your first question comes from the line of Kyle Peterson from Needham. Kyle, please go ahead.
Kyle Peterson: Great, thanks and congratulation guys. I wanted to start off on the outlook, chicken on billings and revenue. I guess a lot of the commentary sounds pretty positive in terms of feedback you guys are getting from or your larger clients, but I guess the numbers looked a little light. So I just wanted to see what is driving that. Is this more of a consumer spending headwind kind of the other side of the funnel? Or is this just broader pressure, especially with some clients that maybe aren't some of the larger advertisers? Or is there something else at play here?
Karim Temsamani: Thanks, Kyle, for the question. Just to step back first, as you know, Kyle, our priority has been to put this company back on the right financial footing. While obviously, at the same time, rebuilding many parts of our operations. I think we've demonstrated that we've made very large progress going from a run rate of close to $55 million in EBITDA losses to a breakeven situation. So what's really cool here is that we now believe that we can run the company profitably on a much lower cost base. This will allow us to concentrate on growing our revenues going forward. But going back to sort of the gist of your question, it's clear that our revenue guidance is lower than we had hoped for, for a couple of reasons. One, there are macro factors at play. I mentioned some of that on the call, we're seeing that inflation is still high. Interest rates also, and we're definitely seeing some points of weakening consumer demand and signals are pointing to that. And obviously, there's a lot of additional feedback that you're hearing in the market with regards to -- we can consider signals. We're also seeing some weakness in some of the sectors which we are addressing internally. That's definitely not easy for us to do better with our sales driver in some of our teams given that we're seeing inconsistency in delivery between some high-growth sectors and some much lower in declining sectors. So there's definitely work that we want to do internally. And then I would say there's also a few areas that we wanted to be cautious around in the guidance we provided, but that could provide additional benefits in the quarter. The longer-than-normal holiday sales cycle this year could potentially help us. And we're still hoping that there will be unplanned budget that we come at this time of the year that we could have like last minute. So overall, we're very positive about the future. We're cautious about Q4, but we're very positive about the future. We see a positive EBITDA for Q4 and possibly for the whole year, as we said, we see that some categories are growing very well and that we're continuing to grow large accounts that are spending a lot more with us. We want to emulate that more consistently across the business. We see that we're winning more supply. And we see that new ad formats and ad tech and ADE will soon be at scale and at us continue to improve our monetization potential. So definitely not where we want to be in Q4, but some very good sort of outlook for us longer term.
Kyle Peterson: Got it. That's helpful. And then maybe if I could follow up on some of the newer products. It seems like there's some good traction there. I guess any metrics you might be able to share or whether it's qualitative or quantitative on some of the adoption of these products. Our clients that are using these are some of these new logo wins that are interested in these? Or is this expansion with existing clients? Or is there's some pure substitution, but happier clients are kind of all of the above?
Karim Temsamani: Yes. I mean I think there's two parts to your question. The first one is that -- the adoption of our tech at scale is a great benefit for us longer term. So in the call, I mentioned that ADE drives high amortization and offer relevancy for the business so that we can improve targeting. Now that we have two of our largest bank that have fully adopted ADE, we can see that there will be further benefits for us going forward. And then certainly, the adoption of new product features like multi-tie offers, which I also talked about on the call, definitely enables us to have different discussions with clients and bring new clients as well to the ecosystem. And I've been talking over the last few quarters about new pricing models, we're trailing some of these now. And obviously, there's no numbers that we want to share yet until some of these things are but there are many elements of co-offering where we really see potential growth going forward.
Kyle Peterson: Got it. That makes sense and it's helpful. And maybe if I could just squeeze one more modeling question in. Nice to see the adjusted contribution margin moved up nicely in the third quarter and the 4Q guide kind of implies that seems like it's going to continue. Is there any mix whether it's types of offers or anything in the pipeline? Or is this kind of 54-ish percent run rate for just contribution? Is that a good run rate to use moving forward in our models?
Alexis DeSieno: Hi, this is Alexis. I can take this one. So the benefit you're seeing in adjusted contribution is primarily due to the renegotiation of a major bank contract as well as a small mix shift from our financial institutions. So we do have different agreements with each one, which does drive some of the changes there. You're also seeing that impact in revenue, so changes to partner mix. And as I said on the call, also improvements in pricing. So I do think that Q3 is a more normalized state going forward. And so that would be a good thing to continue.
Kyle Peterson: Got it. That makes sense. It was very helpful. Thanks guys.
Operator: One moment for your next question. The next question comes from the line of Jason Kreyer from Craig-Hallum. Jason, please go ahead.
Jason Kreyer: Terrific, thank you. Karim, just wondering if you can talk about -- you indicated things are getting a little bit less stable as we get into Q4. What are you hearing from advertisers? Like are you seeing campaigns get paused? Are you seeing those get terminated? Or are you getting any transparency around things are being paused in the short term, but some indications that they may come online at some point in the future? Just trying to get some more detail there.
Karim Temsamani: Yes. Thanks. What we're seeing is that there's no uniformity across the various verticals. There's definitely a number of verticals where we're seeing very strong growth, as we've mentioned on the call as well. Some of our everyday spend categories like grocery, gas and convenience, are really growing very, very strongly year-on-year. Travel and entertainment also is doing well. We are definitely seeing that in other industries like retail and restaurants, for instance, there's a lot more caution and some of the budgets that you would see normally at this time of the year really come up, particularly in retail, are a lot softer than we expected. Some of that is definitely driven by sort of caution around the economy and the ability for consumers to spend. We know that there's a lot of issues around this period for many retailers as consumers just get further into that. But there's also things that we're looking at ourselves because we definitely want to drive more consistency in how we are driving the business across all of our verticals, and we think we have opportunities to ourselves to improve the balance of our business. So yes, does that answer your question, Jason?
Jason Kreyer: That's very helpful. Thank you. I also just wanted to see if we can step back and talk a little bit about what you view as the market opportunity for Rippl. And then the go-to-market for you guys on -- if you expect to do a lot of that independently or if there's partnerships you're looking to pursue to kind of strengthen that or broaden that go-to-market approach?
Karim Temsamani: Yes. Well, so as a reminder, Rippl really provides a single part of access to anonymous shopper profiles, which we enrich with SKU level data. So advertisers that are using Rippl will have an ability to have transparent shopper data that they can use to drive additional spend and a better shopping experience for consumers. We expect that there's going to be choppiness in how Bridg and Rippl scale. It's very new businesses. And obviously, we are in very early stages of talking to many of our customers there. But -- and I would say as well that sort of the time lines for getting customers to join the Rippl network is longer than our core product as well. But having said that, we're thrilled with the progress we're making. We're getting a lot of positive feedback from discussions we're having with both retailers and CPG brands. We have promising pilots in progress, and we have a number of discussions with large clients that are going well. And on top of that, we've just hired a new CRO for Bridg, who will help us scale the Bridg and Rippl business, and we expect that to contribute meaningfully in 2024. So we're very excited about the prospects, but expect some choppiness as we build that business.
Jason Kreyer: Thank you. Last one for me. I wanted to just maybe double-click on multi-tier offers, which sounds like a really interesting opportunity. What is the gating factor to that growing more rapidly? Is there -- like do you need more banks on the ADE or the user experience? Or does it just take more time to get advertisers on there?
Karim Temsamani: Yes, it depends on sort of the goals that advertisers have and their ability to have differentiated type pricing or so offering for their customers. So multi-tier offer is going to be a very successful product for us. That's going to be relevant for many of our customers, but not for all of our customers. We're certainly having multi -- a number of discussions about multi-tier offers with customers right now, and we're planning to scale it as fast as we can. One of the things that I would mention though is that having more of these type of products also opens up discussion for the core product. So as you have more product to sell and can have new discussions with other tiers, even you see them seeing that maybe the multi-tier offer is not relevant for them right now or even in the future, but they end up spending on sort of the -- the normal rewards offers that we have. So it's relevant in many different areas. So as we have these products at scale, and again, I appreciate you all asking for numbers, but we want to see them at scale so that we can provide more meaningful data with regards to the impact that they're having on our network, and we certainly plan to do that in the future.
Jason Kreyer: Got it. Alright, thanks Karim. Thanks everyone.
Karim Temsamani: Thank you Jason.
Operator: Thank you. At this time, I would now like to turn it back over to the speaker for any further comments. So back to you, Karim.
Karim Temsamani: Thank you very much, Felicia. That brings the call to a close. As mentioned, we remain committed to positioning the business for future success. Thank you for your continued support, and I look forward to speaking to you all soon.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.